Operator: Welcome to the Sequans Second Quarter 2020 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. As a reminder, this conference is being recorded. Before I turn the conference over to our host, Mr. Georges Karam, I would like to remind you of the following important information on behalf of Sequans. This call contains projections and other forward-looking statements regarding future events, our future financial performance and potential financing sources. All statements other than present and historical facts and conditions discussed in this call, including any statements regarding expected revenue for the third quarter and the fourth quarter of 2020, future results of operations and financial positions, business strategy and plans, expectations for Massive IoT and Broadband and Critical IoT sales, the ability to continue to operate remotely as recorded at high levels of productivity, increasing backlog of orders, the impact of the coronavirus on our manufacturing operations, and on customer demand, and our objectives for future operations, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. These statements are only predictions and reflect our current beliefs and expectations with respect to future events and are based on assumptions and subject to risk and uncertainties are subject to change at any time. We operate in a very competitive and rapidly changing environment. New risks emerge from time-to-time. Given these risks and uncertainties, you should not place undue reliance on these forward-looking statements. Actual events or results may differ materially from those contained in the projections or forward-looking statements. More information on factors that could affect our business and financial results are included in our public filings made with the Securities and Exchange Commission.  Thank you. Please, go ahead, sir.
Georges Karam: Thank you, operator. Good morning, ladies and gentlemen. This is Georges speaking. I am with Deborah Choate, our Chief Financial Officer. Welcome to our second quarter results conference call. We have added a number of new shareholders since our last call, and we expect that some are listening to this call. So we'd like to welcome you and say that we appreciate your interest and investment in Sequans. In the press release, I characterized Q2 as a pivotal quarter for us. It was indeed and I'd like to recap some of our most important achievements. Q2 revenue increased nicely both sequentially and year-over-year in all three of our businesses. We significantly reduced our operating loss, and we raised $32.6 million in equity capital to strengthen our balance sheet. Other major accomplishments that are not apparent from looking at the financial statements include the following: We met important technical and business milestones related to our large strategic partnership for 5G. In fact, we are running slightly ahead of schedule and are seeing growing interest from an expanding list of potential customers. We secured important new design wins and projects in each of our businesses. One of them is a major long cycle industrial platform win in our Massive IoT business. It can scale up to many projects that will ship over many years with this same marquee customer, and it has the potential to generate up to $100 million in total revenue. We continued engaging with almost no impact from COVID-19 restrictions, with many new prospective deals, most of them with Tier 1 customers, again covering all three business segments. We strengthened and expanded our partnerships with multiple distributors and microcontroller vendors, reinforcing the go-to-market strategy to scale our Massive IoT business I have described on our previous calls. And we made very good progress on the 5G strategic partnership front where we have a few deals under discussion and one of them is now in active negotiation. While we, like many other companies, had supply chain challenges to overcome during the quarter, we are happy to say that we managed to limit the impact. Also, we faced COVID-19 impact on demand in our existing automotive-related business, but we are seeing some recovery in Q3. Lastly, we are expecting to close one major vertical project, but the final decision regarding the award of the deal to our customer was delayed by about one quarter. So, in summary, we are very pleased with the achievements of the quarter, and we are very excited about our future. We believe the positive impact of COVID-19 on demand for our solutions will continue to offset any negative impact and we continue to assume the same order of magnitude of revenue growth for 2020 as we were targeting prior to the pandemic. More important, we continue to build this solid foundation for significant growth next year and beyond. While some external challenges and risks remain, our own operations are nearly back to normal, with only one location in work-from-home mode. During the first half of the year, we proved that we can maintain a high level of productivity, while working 100% remotely, but we are happy to be able to be in the office together in almost all locations with appropriate social distancing and other precautions. Now we'd like to discuss some of the specific reasons for our confidence in the future and update you our recent developments in each of our businesses. And I will start with the Broadband and Critical IoT business. During Q1, the surge in demand in the U.S. for portable routers resulted in a very large increase in orders for our modules that power Verizon’s JetPack mobile hotspot. We believe a lot of the demand was to service schools for use by students. Our main challenge in addressing this demand during Q2 was the expanded lead times for some components. Through our collective creativity and persistence, we were able to obtain enough components to satisfy a significant portion of this large order. As a result, our Broadband IoT revenue more than doubled sequentially. We will continue to fulfill the backlog of orders in the third quarter. The component situation looks like it will begin to improve soon even if we continue to struggle with getting enough components throughout July. We expect the expanded use of JetPack to continue, specifically to help schools and student with remote learning applications as many students may not be able to return to classes full-time since most of the US states are considering not opening the schools in fall or reducing on-campus classes. Even if we do not have yet the full picture for Q4 and beyond, all indications point to the new normal for JetPack being at a higher level of demand than before the pandemic. The coronavirus has focused everyone's attention on the importance of being able to work and study remotely, which is dependent on having a broadband connection. Even in advanced countries such as the United States, we have seen estimates ranging between 20 million and 40 million people without physical access to a broadband connection. This is not counting those who cannot afford it, or are dependent on mobile plans with data limits. Globally, the digital divide is much wider. In fact, it's estimated that nearly 50% of the world's population still lacks access to the internet. Federal and local governments and even the United Nations Broadband Commission for Sustainable Development are setting goals designed to connect the other half of the world's population to bridge the digital divide. Devices to enable broadband in underserved areas have been part of our core business since our company was founded. Until recently, industry observers agreed that Broadband IoT was likely to see steady, fairly slow growth. Now, forecasts are being revised upward not only in emerging markets, but in developed countries as well. For example, Ericsson's widely followed mobility report forecasts fixed wireless access to grow from 51 million connections in 2019 to 160 million by 2025, a compound annual growth rate above 20%. Our long-time presence in this market, plus our technical knowhow position us to capitalize on fixed wireless access growth as well as higher demand for portable routers over the medium term. As we move into the second half of this year, we expect the emerging market portions of our broadband IoT business to accelerate, specifically from the new customers, we secured at the end of last year, as their products are now in production. Therefore we should see more growth coming from the emerging markets starting in Q3. In addition, are well positioned to capture a significant share of the developing CBRS market in the US. As you know, CBRS or Citizens Broadband Radio Service refers to the 3.5 gigahertz band in the U.S., which is currently underused. So the FCC is opening 150 MHz in this band for access to licensed users with a priority access license and to register the users with a general authorized access.  70 MHz mof the spectrum is being auctioned in under 10 MHz blocks, and the remaining 8 MHz will be available for general access at no cost, but without the ability to ensure quality of service of this. This option of priority access licenses attracted over 270 bidders. The bidders include in addition to Tier 1 telecom operators and Tier 2 and 3 wireless access service providers, many nonprofessional companies such as cable companies, utilities and some other large corporations, as well as potential neutral [ph] host providers. Who the successful bidders will be, remains to be seen. But one thing is certain, all these networks will require devices that support the 3.5 gigahertz band. Out Cat 4 and Cat 6 products have been supporting 3.5 bands worldwide for nearly a decade. And last year we launched modules that are custom optimized for CBRS in the U.S. As we have reported in the past, we have enjoyed strong interest in our CBRS solution for various types of devices and applications, including CPEs [ph] and gateways for broadband access and various industrial IoT applications. During Q2, we added new CBRS customers, and one of them in particular, has very large potential. We believe that our CBRS business could contribute several million dollars or more to revenue next year. Finally, we continue seeing traction with new customers looking to our Broadband IoT Cat 4 and Cat 6 platform. We are in advanced stage negotiating two very large deals, one in the U.S. and one in Asia [ph]. Longer term, we expect to play a significant role in 5G with our Taurus platform, currently under development. The high end Taurus 5G platform will serve two major groups of 5G use cases. One is enhanced mobile broadband, we refer to this as eMBB, supplying solutions for high bandwidth wireless connectivity, large scale video streaming, and virtual reality. And the second is reliable, low latency communication, also referred to this as URLLC for connected devices used in factory automation, robotic and remote management. Some of these use cases in both categories are not likely to be in mass production until mid decade. Meanwhile, some of the applications for which we are seeing immediate interest include residential and enterprise fixed wireless, embedded for independent devices for mobile computing, such as portable routers, factory automation, high definition cameras and connected car applications. Note that current 5G related revenue is virtually all services and is reported as part of our vertical and strategic business. Once large [ph] shipping products stays on our Taurus platform, those revenues will be recorded as part of the Broadband and Critical IoT business, which is very good about our prospects in 5G, because the large chip companies are focused on the smartphone market, and it's not possible to create one design that's optimized for both parties. Also there is only one western company currently serving the 5G market and the non-smartphone portion of the market is not their primary focus. Therefore head start on 5G technology, the support of outstanding strategic partners, and generally high barrier to entry, we believe we are very well positioned to capitalize on this major opportunity. We believe 5G can fuel our growth for the next decade. Turning now to our Massive IoT business. The third major group of use cases for 5G is a massive machine type communication. We refer to this as MMTC, which we refer here in our business to as Massive IoT. This business currently includes our Cat 1 and Calliope platform and Cat M and B [ph] platform Monarch. The second generation of both platforms are 5G ready. This will allow our customers to transition seamlessly to 5G with no hardware change as Massive IoT application will evolve from 4G to 5G. These solutions are optimized for low power consumption and low cost in order to run on batteries and provide low cost cellular connectivity when limited throughput in comparison to what's provided by Broadband IoT. Even though the massive IoT market has been slower to develop than we expected, working with customers and partners through the entire emphasis of the market and sharing our vision and roadmap had built relationships that are difficult for a newcomer with one product to displace. We expect the ramp in Massive IoT solutions to fuel strong growth over the next two to three years. Both Cat 1 and Cat M revenue grew sequentially in Q2. We are past the invent [ph] ratio we had with our model customer in Cat 1 and we continue to believe Cat 1 revenue will increase in the second half of the year. While COVID-19 caused soft demand for applications related to the car industry, the demand from a customer developing health monitoring device has increased significantly. We expect to see this increase continuing in the second half of the year and stay at relatively high level next year. In Q2 COVID-19 had an impact on our Cat 1 supply chain for the same components as we use in portable routers and we were not able to completely serve higher demanding in Cat 1, but expect to be able to serve these customers into Q3. So in balance, the Cat 1 business is moving in line with our plans. We remain very positive on our Cat M business despite some delay caused by the pandemic on some customer projects, not yet launched and some softness in the automotive related business. The projects already in production are moving very well and we are really happy about the level of demand coming from the Comcast security system we are supplying in the U.S. We expect Cat M revenue to be higher in the second half compared to the first half and to show a very big increase for the full year versus 2019, mainly driven by new products that we'll be launching both in the U.S. and Japan. Overall, we are confident that we have reached an inflection point in the Massive IoT market. We believe Cat M revenue will continue to grow significantly next year. Cat 1 is likely to be mostly steady until we start shipping our next generation platform Calliope 2 in the second half of next year. So we believe Massive IoT as a whole is likely to grow well over 50% next year. Our confidence for the medium term is based on several important design wins during Q2 as well as the significant increase in the total estimated value of projects that are currently in the technical feasibility stage. Also the new opportunities we are identifying are generally larger than most of those already in production. The categories of application where we see high degree of current interest include various types of tracking devices, metering, security, connected speakers and health monitoring. During Q2 we secured a tracking design win that's connected with a major retailer as well as a parking application in Japan. Our most important IoT design win in Q2 was the first phase of a large metering opportunity that we have mentioned in the past. As we've been saying the metering space is an important for us. Particularly, gas and water meters where the low power requirements and the harsh environment poses particular challenge. Our joint promotion of the Monarch SiP with Skyworks is showing results. Particularly in this metering space we have an excellent solution and we are getting strong support and feedback from customers and engineering teams. We are close to another significant metering design win and are engaged in discussions on several more metering projects. This is all significant promise for the second half of next year and beyond. Our go-to-market initiatives with our distribution partners, Avnet and RFPD are going well. We are expanding the scope of our relationship with Avnet to include Europe and we have a number of design wins based on Monarch Go. We are also expanding the scope of our relationship with Arrow RFPD outside the U.S. and a funnel of opportunities from Japan and Europe is developing. We are very pleased with the progress with our existing MCU partners. We are moving into next steps of engagement with both Microchip and NXP. You will hear more about the work we are doing with them later in the year. For confidentiality reasons I will be commenting in detail only after the announcements. Our unique position as a technology provider of cellular connectivity makes us an ideal partner to all MCU vendors. We help them address the Massive IoT market and they help us address the segmented dark pipe of this market. While we continue working with the publicly announced MCU vendors, we are also pursuing discussions with other partners and we expect to solidify additional relationships before year end. Turning now to vertical and strategic segment. Our vertical and strategic business remains on track for a significant increase in 2020 mainly due to revenue recognition related to the large strategic deals signed last year. As we mentioned previously, we were selected by our existing customer for a product they are pursuing in the satellite space. We had hopee to find out that they were successful in landing the business by now. All of their decision has been postponed to Q4. On the positive side, we are close to finalizing the terms with a new customer for a project that has been on hold for a while, but is now moving ahead. Also we are seeing our pipeline of opportunities increase among both existing and new customers. We are optimistic about our ability to show good growth in this business next year. Regarding potential new strategic deals, we are still involved in multiple discussions. We are pleased to report that we have reached a point of actively negotiating terms for the one that's most addressed. Since we were able to strengthen our balance sheet with additional equity funding in Q2 discussions with prospective customers and partners have become easier and we are able to focus on getting the best possible deal rather than on how to close the deal as quickly as possible. We are continuing to work on additional government innovation funding from the French Government and we had very good progress in Q2. We have received recently an official notification that we are now in the last phase of the process that we hope to close in Q4. To summarize, despite ongoing macroeconomic uncertainty, and potential further impacts from COVID-19, we remain optimistic that we can be above 50% growth for this year and have a similar growth level next year. Over the medium term, we expect continued growth in broadband for emerging markets, to sustain relatively high level of demand for portable routers, to add new CBRS related business, and to add revenues from a few major deals that we are working to close. We expect the Massive IoT ramp to continue accelerating, Cat M continued steady growth, then accelerate to then production of our Calliope 2 solution. Cat M is expected to keep accelerating its ramp with existing projects shipping, plus new design wins and platform projects we have secured supported by the interaction of our second generation Monarch 2 solution. Finally our vertical market business is expected to grow significantly, thanks to the deal we are closing this year and will add to the earnings related from our existing and new strategic 5G products. Helping to fuel further growth over the long-term will be our new high end 5G Taurus platform for broadband and critical applications, plus the continued growth in Massive IoT. Both should continue growing for the rest of the decade as the market continues to grow. We know that some of you became interested in us as a leader in 4G optimized solutions. Some of you became interested in us as an IoT player and others as a company benefiting from initiatives to bridge the digital divide. More recently, some interest has come because we are seen as a 5G company. The fact is that we are all of those things. We are the only company with a comprehensive range of 5G, 4G cellular connectivity, optimized for Internet of Things market, and this will contribute to maintain our momentum over the next decade. Now, I'd like to turn the call over to Deborah to give you more detail on the financial results.
Deborah Choate: Thank you, Georges, and hello everyone. I’d like to add some details about our Q2 results and other developments. Our Q2 revenue was $12.2 million, a sequential increase of 39.4% from the first quarter, primarily driven by 59% increase in products revenue reflecting the surge in demand for modules for portable routers, but also increases in product sales from Massive IoT. Revenue in Q2 increased 54.6% compared to the same quarter a year ago. We continue to expect further sequential growth in the final two quarters of the year and we are on track to meet our goal of at least 50% topline growth for 2020. We had three greater than 10% customers in the second quarter, one is an OEM and two are ODMs. And our grow margin in Q2 was 48.3% compared to 51.3% in the first quarter and compared to 37.7% in the second quarter of 2019. The Q2 2020 gross margin reflects a greater proportion of modules in the product mix than in Q1 and a lower proportion of service revenue. Operating expenses were $11.5 million in Q2 down from the $12.3 million in Q1 primarily due to fewer trade shows and less travel as well as the one-time charges in Q1 related to bringing onboard a new 5G development team in Israel. Non-IFRS operating expenses were $10.8 million, down from $11.6 million in Q1. Our second quarter operating loss was $5.6 million compared to an operating loss of $7.8 million in the first quarter and a $6.9 million loss in the second quarter of 2019. Our net loss in Q2 was $19 million or $0.70 per diluted ADS and included a non-cash $9.1 million loss of revaluation of the embedded derivative arising from the March 2020 amendment to our convertible debt agreements. This compares to a net loss of $15.3 million or $0.64 per diluted ADS in the first quarter, which also included a non-cash loss on revaluation of the embedded derivative of $5.6 million partially offset by a one-time non-cash gain of $1.4 million, recognized as a result of the amendments to the convertible debt agreement. The net loss in the second quarter of last year was $9.2 million or $0.39 per ADS, and was not affected by the convertible debt amendments. For new investors who may be unfamiliar with the March 2020 amendments, the purpose was to provide us the flexibility to extend the maturity of each convertible note solely at our option by one year increments up to three times. In certain cases, this could result in a reduction in the conversion price. Consequently, the equity conversion price is now considered potentially variable. So, IFRS accounting requires that the conversion option be recorded as an embedded derivative, which must be mark-to-market each quarter with any change in value reflected as a non-cash financial gain or loss. Previously, the estimated values of the conversion options were recorded through equity. The Q1 results we reported in April were marked as preliminary, because we had not yet finalized the valuation of the amendments, which was a highly complex task. The accounting entries resulting from this process led to changes in our financial and deferred tax expenses for Q1. Therefore, in our Q2 financial statements, the comparative Q1 results have been updated to reflect the non-cash impact of this valuation process. And full updated and final Q1 financial tables have been filed with our Form 6-K today. Those of you maintaining financial models will want to update the relevant Q1 IFRS line items. Our weighted average number of ADS in Q2 was $27.2 million, an increase of $3.3 million ADS reflecting the equity offerings in May. On a non-IFRS basis, our net loss for Q2 was $7.5 million or $0.28 per diluted ADS compared to a non-IFRS net loss of $8.7 million or $0.36 per ADS in the first quarter, and a net loss of $7.9 million or $0.33 per diluted ADS in the second quarter of 2019. Our non-IFRS net loss excludes non-cash items related to stock options, stock-based compensation expense, and the non-cash impact of the fair value and effective interest adjustments related to the convertible debt with embedded derivatives and other financings, the non-cash impact of convertible debt amendments, and the non-cash deferred tax benefits or expense related to the convertible debt and other financings. In analyzing the difference between our actual non-IFRS net loss in Q2 and the various analyst estimates, we noted that where there was a difference it was related primary to the assumptions used regarding foreign exchange gain or loss for the quarter. In Q2, we had a foreign exchange loss of over $500,000, related to the revaluation of Euro denominated liabilities on the balance sheet. By contrast, in Q1 we had a $675,000 Forex gain. Investors should be aware of the possible swings in foreign exchange related to balance sheet liabilities, and the mark-to-market of the embedded derivative from the convertible debt amendments can cause significant differences in net income or loss from quarter-to-quarter. While the impact of swings in the value of the embedded derivative is excluded from our non-IFRS presentations, foreign exchange gain or losses are not. Cash flow used in operations during Q2 was $1.4 million compared to cash flow used in operations at $7.7 million in the first quarter. Our cash and short term deposits at June 30, 2020, totaled $35.5 million compared to $5.1 million at the end of Q1. This increase reflects the proceeds of our equity offerings in May, the recovery in the 2019 French research credit and an additional €5 million government loan as part of the COVID-19 stimulus package aimed at helping French technology companies. As Georges mentioned, we believe we are on track to receive French innovation financing as part of a technology consortium for 5G and we have applied for innovation financing through the Israeli Government as well. Accounts receivable at June 30, 2020, increased to $10.7 million from $8.8 million at the end of Q1, reflecting higher product sales. DSOs improved to 61 days compared to 91 days at the end of Q1. Inventories decreased slightly to $5.9 million compared to $6.1 million at the end of Q1. Current trade payables increased to $17 million from $12.2 million, reflecting large CapEx purchases in June for the 5G program. Short-term debt from financing receivables increased to $9.6 million from $6.62 million at the end of Q1. Turning to the financial outlook, we are targeting at least 10% sequential revenue growth in Q3. In addition, we continue to expect sequential quarterly revenue growth in the fourth quarter. Therefore, we continue to expect full-year revenue in 2020 to grow more than 50% compared to 2019, although we remain somewhat cautious about encountering further challenges with the supply chain due to COVID-19. There's a new developing financial models. We continue to assume that non-IFRS gross margin will average about 45% during the second half of the year, with the potential to fluctuate from quarter-to-quarter based on proportion of modules versus service revenues in the mix. We also continue to expect non-IFRS operating expenses to average around $10.5 million during the second half, that's not a quarterly rate. And we expect non-IFRS financial expenses to be around $2.1 million per quarter during the remainder of 2020, excluding any foreign exchange gain or loss. Finally, for modeling purposes, the exact number of ADS on June 30, 2020 was 30,259,536. Before I turn the call back to Georges, I'd just like to remind you that at the conclusion of this call, we will post a written version of our formal remarks in the Investor Relations section of our website on the webcast and presentations page, the same location where you will find the audio replay. Also Georges and I will be participating in the virtual Canaccord Conference on August 12, and we look forward to speaking with you if you plan to participate. Now, I'll turn the call back to Georges.
Georges Karam: Thank you, Deborah. So again, to conclude a few words. As I said, it was Q2 was a great quarter on all fronts, including the balance sheet aspect and we believe that 2020 is going to be a strong year. Our three businesses are doing very well. Extra demand for broadband, but also ramp of new customers and new market segments. Acceleration of Massive IoT is happening and vertical deals continue to build. Also, strategic partnership continues to develop, thanks to our leadership position as unique provider of comprehensive 5G, 4G connectivity solutions focused on the IoT market. So all signs are positive, and we feel very good about our future. Thanks for listening. We'll turn the call now to questions. Operator?
Operator: Thank you. [Operator Instructions] We will now take our first question from Craig Ellis of B. Riley FBR. Please go ahead.
Craig Ellis: Yes, thanks for taking the question, and congratulations on all the accomplishments in the quarter. Georges, I wanted to start just with a clarification on the supply side dimension that there were some supply issues impacting the Verizon Jetpack business and Massive IoT business. How do you see that supply issue progressing as we go through the third quarter? Is that something that's resolved now and you feel like you're getting sufficient supply for both of those businesses or is the supply sufficiency something that occurs later in the quarter, and if so, when would you expect that?
Georges Karam: Hi, Craig. Indeed, you know, it's getting better. I don't want to say there is no issue because the lead time remains long, and obviously those demands, related to the COVID are very hard to predict, so you're getting always, because no one knows when this crisis will end and people are a little bit cautious. So they are - they plan something and suddenly they need much more, and obviously we plan on our side all this. So, in a nutshell, July was still tough, but I see August doing well. We're catching up, and I believe hopefully with all the anticipation we did for the rest of the year, we should be fine, but we remain a little bit on the edge there make - staying cautious as anything can happen in the last minute on the supply.
Craig Ellis: Yes, that makes sense, and then turning to the Critical IoT business, so nice to see some of those emerging markets design wins starting to come in and ramp in the back half of the year. If you looked at calendar ’21, how do you see Critical IoT geographic mix dynamics playing out? Is a lot of the growth coming out of the emerging markets versus the U.S. market? And Deborah, given the geographic mix dynamic, is there anything to note on the gross margin side?
Georges Karam: Just correct for, maybe when you refer to Critical IOT, what you are referring is this what you meant, Critical or you're talking about the Broadband IoT as the reference?
Craig Ellis: Yes, Broadband Georges. Thank you.
Georges Karam: Yes, Broadband so, okay I mean, just for the terminology, because Broadband and Critical IoT the 5G had this Critical because this is the latency, the low latency with opening new applications, but on the - indeed, I mean the emerging market, I mean is moving well as I said, because we added some customers last year, and those guys are moving through production, and I'm quite happy to see this ramp accelerating even in Q3. So, hopefully this would continue. And obviously when you refer to CBRS and the gen tech and all this is outside of the emerging. So, the mix there is always impact a little bit on the gross margin when you sell in the emerging market, but overall…
Deborah Choate: Yes, I'd say that it's more where we sell and is not so much of an impact or a factor on the selling price. It's more really related to volume and the end application. So, I'm not expecting any significant impact on gross margin based on where we're selling to.
Craig Ellis: Got it. And then lastly, before I hop back in the queue, turning to the Massive IoT business, while you made some points on your distribution and MCU partnerships, Georges, can you just help us understand the visibility you're getting into the demand creation, design win funnels with those two sets of partners, distribution, MCU, and what should we expect from a messaging and just a quantification standpoint with respect to those opportunities as we look at the back half of the year and more significantly calendar ‘21? Thank you.
Georges Karam: Yes, I mean, Craig, it's - I can't talk this about Q2 because we had a first full clear quarter of all those engagements that are developing. I will start with the solution and the reality, the pipe was never as big as we saw it in the past. You know, in other words, this was really very, very helpful for lead generation and bringing Tier 1 account to us. So, I don’t know if the market was – there is obviously the development in the market at the same time, but the go-to-market, I'm 100% sure has a very positive impact. It's still early to talk about revenue impact for next year. And I'll say specifically on this, even if we see the trend, we see the pipe bigger, we see bigger deals that are negotiating, and obviously this would fuel our revenue in Massive IoT next year. On the MCU partner, this is really another angle, which has obviously helped the go-to-market, mainly the dark pipe, already we're seeing some traction there and more will come I would say in the second half of this year. I mean, we're seeing more customer buying if you want the EVK, the tools to block projects and so on. And again, this should help us significantly next year. I'm very positive about it, but still too early if you want to quantify, I will say to tell you, look, I mean, this was the portion of direct business, and this is the percentage of indirect business or through partners. But all is very, very positive, and I'm very excited about and this should fuel the growth next year.
Craig Ellis: Got it. Thank you.
Operator: And we will now take our next question from Mike Walkley of Canaccord. Please go ahead.
Michael Walkley: Great, thank you. Just a follow up question on the growth sequentially the 10% plus growth, is it equally weighted across all businesses or more broadband, can you just give us maybe some color of the sequential growth? And going back to the supply chain question, how much do you think was not able to ship in Q2 in terms of revenue because of the supply issue that looks like it might get rectified throughout the third quarter? Thank you.
Georges Karam: Well, on the 10% I will not say equally in a sense because, you know, we have all this, the vertical and strategic project, as you know, it's revenue recognition. So sometimes you can vary from quarter-to-quarter because this is percentage of completion and depending on what we are doing in a quarter, we could be taking $0.5 million more or less, even if we have new deals adding up. But very honestly, if I have to look to Q3, if I have in mind, we are not expecting growth quarter-to-quarter on the vertical and strategic. So all this growth will be coming from the two line product line, Broadband and Massive IoT, and the two will be growing quarter-to-quarter and our plan at least in the short term we're seeing. And regarding the supply chain, I could say that we could do - I mean, it's very hard because the older one would receive order from the beginning. We didn't think we’ll do everything in Q2. We're thinking that we'll do something, the piece in Q2, and the piece in Q3 from the beginning. So it is not all what you have in the backlog was planned for Q2 just because we know that it will be impossible for us to solve it. However, we are planning maybe to do in terms of supply, we could, in fact, I'll give you really the number in mind. I have it on the plan. It was somewhere 700 K, 800 K that we could do more if the supply was in line of what we were hoping.
Michael Walkley: Okay, now that's helpful and congrats on the stronger balance sheet. Deborah, how does this cash now that you guys up in terms of your growing forecast towards breakeven? And then for the France and Israel funding, you know, what could those amounts look like if they come through later this year?
Deborah Choate: Sure. So with all of the fundraising we did in Q2, we feel that we are set to take the company to cash flow breakeven, and the additional funding that's still in process from the French Government, we're expecting maybe about $6 million, which would be a portion this year and a portion next year. And the Israeli is probably the financing is probably more around 400,000 per quarter.
Michael Walkley: Okay, thank you guys. That it from me, congrats.
Deborah Choate: Thanks.
Operator: And we'll now take our next question from Tristan Gerra of Baird. Please go ahead.
Tristan Gerra: Hi, good afternoon. Just a quick follow-up from the prior question and trying to look at the timing of the EPS breakeven and how should we look at your cost structure next year? I know you're not guiding for next year, but just trying to kind of model where we could get to the timing of that EPS breakeven looking at the OpEx?
Deborah Choate: Yes, I think our expectation is that this year that we have 5G team fully ramped, and then the - and also engineers moving from sort of lazy to 5G. So we're not expecting to have to continue to increase headcount and costs that significantly next year. So, as we bring on more projects, there might be a bit more support to be done, but so I'm not expecting a significant increase in OpEx for 2021.
Tristan Gerra: Okay, great. And then could you expand a little bit on the CBRS that you've mentioned as a significant growth opportunity next year, and that you've talked about some telecom operators and cable companies and utilities, could you help us just on what is the current shaded about you know, that's a specific frequency what it says to - your product offering right now and basically what are some of the key applications maybe a little bit in more detail?
Georges Karam: Yes, Tristan, as you know the best way to look about, we have two kind of big applications for CBRS, whether it's used by the main Telco as an offload, in other words, you have the regular business of the big operators, if they get the frequency. So because they have some frequency band available in some regions, if they are saturated with their on spectrum, they can offload their users on this. And for this, it will not be in my opinion a new business for us in the sense like it is the regular business that you have with the operator and okay you have one more frequency band to support and the device versus not having the CBRS onsite. However, we have completely new application, which is you can qualify them like private 4G or whatever in the future 5G networks, which is essentially the new operator, called them operator even if at the end of the day, maybe they are not telecom operators, but new service provider or developing a network to serve campus application, to serve cities, to serve utility, to serve factory, and this is like, is super Wi-Fi if you want to, those are quality of service, because the WiFi has its challenge when it's at larger scale and volume, because you start getting - losing the quality of service, while 4G, 5G can get digital quality of service. And now we have a frequency band that looks like, which is a semi license, but it looks like unlicensed frequency band because you can build your network without really paying a lot of money for the spectrum and use it to run an operation locally. So this is really the new market for us. It's very hard very honestly to - I don't have real numbers of the market size because it's very, very complicated. All the study I have seen - it's very hard for them to estimate the number of units you can get there. But if we sense the traction we have from the customers, because we have dozen of customers, I mentioned that even during the quarter, we added a couple of guys. All this let us feel like there is demand. We already shipped some, but lower level, but obviously now when the auction will be finished and the people can start moving, we should see acceleration of this market. And our estimation that we could do it a few million that are maybe more incremental revenue next year coming only from this market in the U.S.
Tristan Gerra: Great, that's useful. And then the next question, now that we're getting very close to actually calm and not being able to get supply from TSMC, does that change at all your outlook about China? I know you have been - you have not considered China as a market where you can have meaningful participation in the past, does that change or maybe it doesn't, but there are potential opportunities arising from the current dynamics?
Georges Karam: All those dynamics really that are coming are positive to the company. It's very, very hard to say, you know, how big it is and sound today because it's very hard to - we didn't measure it yet, but definitely from traction all this is positive, Sequans being obviously that the - it's breaking the monopoly [ph] in the western world having the 4G, 5G technologies that are attracting a lot of partners. We're seeing as well, some traction with some people that they want to avoid using as well, American components, not to say it like this, and having France, having Sequans, the French company and we have some people coming to our ship because we are not American. So and that ours is very hard to say, to quantify it and say, how much would we benefit from this inside China are more interested in the impact of our business in the U.S. and Europe than the reverse, but maybe the reverse could be as well as positive. If we're getting something more in China it could be positive because if people, if the tension continues and they want to avoid, they want to have Europeans technology, we can be well place to sell this technology as well.
Tristan Gerra: Okay, thank you very much.
Georges Karam: Okay, thank you, Tristan.
Operator: And we will now take our next question from Scott Searle of ROTH Capital. Please go ahead.
Scott Searle: Good morning. Good afternoon. Thanks for taking my questions. Guys a really nice job in a very difficult operating environment. First a quick clarification, I just want to make sure I heard this correctly. Broadband revenues doubled sequentially from the first quarter and the second quarter and Georges, as it relates to incremental MCU partners, it sounds like you're optimistic that you're going to sign an additional Tier 1 by year-end. Did I hear that correctly?
Georges Karam: Yup. I mean, Scott, I mean that the two I can - your understanding in Broadband, yes indeed doubled and the MCU partner. I mean, very honestly I still believe in my vision. All the apps your partner there, they have interest in Sequans and I see Sequans becoming their center of technology for the MCU partner. Obviously all of them will not eat on displays and display it – but the way I see the traction, the message when I discuss with those partners, rings a bell to them and it is very positive. You know the name that we made them public, and others we have discussion with them and when it becomes more serious, we'll make them public as well. And we hope that something will close as well in the coming six months. Yes, indeed.
Scott Searle: Very good. And then looking at the fourth quarter, you're looking for sequential increase from the third quarter, which is up 10%. It seems like there are a lot of factors that are starting to contribute to some of that upside as well. If I heard correctly, you start to see some contribution from emerging market, broadband kicking in, in the fourth quarter, CBRS should be ramping, Monarch Go. And we start to see MCU partner contribution that early as well? Are all four of those new elements going to be contributors by the time we get to the fourth quarter?
Georges Karam: Well, indeed everything is going to the right direction and we believe all the business will contribute in Q4. Now on the MCU, you know, I don't qualify it as dollar amount in Q4. It will be too early in dollar amount because even you know shipping thousands of EVK left and right and getting design wins can generate some revenue, but it will be really not measured. However, the flow of design win will be important, thanks to the MCU partner for Q4.
Scott Searle: Okay, and real quickly NB IoT we haven't talked a lot about lately, but Monarch can partner what's available, what's the level of interest, does that really start to ramp up in 2021?
Georges Karam: Very honestly there is interest, but we're seeing a little bit the world, as you know, in the U.S. they have IoT, but the people, they didn't make clear differentiation between Cat M and NB. And as a conclusion of this, people prefer to go – I am talking differentiation in terms of pricing of the data plan if you want. So as such, we see really in the U.S. still Cat M oriented. Europe we some couple of operator motivated by NB IoT because some of them they deploy only NB IoT, namely, for example, Vodafone. So we see some interest there and obviously we're not playing in China. In Japan they backed off a little bit on NB IoT. For example, DoCoMo, they stopped their NB IoT plan saying we will maintain only Cat M. There is some noise on some bankers on that they will do the same. So all this if you want to give you the global, if you, which excluded China, we are feeling Cat M becoming the dominant. Maybe with some still use case for NB IoT. So obviously we are not giving up on NB IoT. We have a solution on NB IoT which we are promoting, but we are more seeing design win and the promotion and so on, on Cat M. And for us there is no negative impact of all this, because as you know, we have the Cat M, we have the NB IoT, we can offer the dual more the platform or single mode platform for NB IoT. So this has no impact. It is just for us to adjust therefore and the resources versus the priority of the demands of the market.
Scott Searle: Got you. And lastly, if I could on the 5G front, it seems like there continues to be a tremendous amount of interest, tremendous amount of dialogue in terms of what you're doing from the Taurus standpoint and you're tracking expectations from the development standpoint. Could you just clarify the number of strategic discussions that you have ongoing and it sounds like you're very close on one? And then also, but in a world of limited 5G availability and resources, you've got Qualcomm, you've got MediaTek, and then basically you've got, so beyond scarcity, why are so many potential partners coming to work with you? What are you guys doing that's differentiated that continues to put them on the radar screen and the ability to close these deals? Thanks and nice quarter.
Georges Karam: Yes, Scott, I mean on the 5G, we're really, we are seeing amazing interaction. You know, I mean, it's very hard to quantify who is strategic, who is not, but we're getting, I would say from deep pocket guys where they have really strategic interests and so on to regular customers really looking to get our solution in hand as soon as possible. So obviously, people aren't looking for us for a little bit of the technology. The price point we are targeting on this technology and cost optimization if you wanted the solution. The optimization of the solution for [indiscernible]. All this is really creating the traction. I could say today, you know, we have couple of them. I could qualify them strategic and it says they are deep pockets and we would have decent amount of money and one of them is in advanced stage of negotiation. But you have others, you know, maybe just only they - I don't see them really coming with big check now, but they will be coming to engage with Sequans as well for customer and for partner, and we put some money as well on the table to be sure they can get to be into the - between the first access to this technology.
Scott Searle: Thank you. And that concludes the Q&A session. I'd like to turn the call back to you for any additional or closing remarks.
Georges Karam: Okay, so thank you very much for listening and all the questions, looking forward to talk with you on other occasions. Thank you very much and thanks operator.
Operator: Thank you. That will conclude the call. Thank you all for your participation. You may now disconnect.